Operator: Good morning. My name is Shaina and I will be your conference operator today. At this time, I would like to welcome everyone to the AMERCO fourth quarter fiscal 2010 investor conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Jennifer Flachman, you may begin your conference.
Jennifer Flachman: Thank you for joining us today. And welcome to the fourth quarter fiscal 2010 year-end investor call. Before we begin, I'd like to remind everyone that certain of the statements during this call regarding general revenues, income and general growth of our business constitute forward-looking statements contemplated under the Private Securities Litigation Reform Act of 1995. And certain factors could cause actual results to differ materially from those projected. For a brief discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-Q for the year ended March 31, 2010, which is on file with the Securities and Exchange Commission. Participating in the call today will be Joe Shoen, Chairman of AMERCO. I'll now turn the call over to Joe.
Joe Shoen: Good morning. Jason Berg, Rocky Wardrip and myself are all speaking to you from Phoenix. You have all seen the numbers and we just completed a decent finish to what has been a tough year. U-Move actions we took in the first and second quarters started to show results in the fourth quarter. It's been very difficult to get results over the past 18 months. However, throughout this period, we have continued to invest in our infrastructure to both squeeze out costs and increase customer satisfaction. These investments should make us very competitive going ahead. Our self-storage business also ended the year a little better than it started. We pulled back new investment in self storage over the past year, yet we still finished with increased room inventory over the prior period. This will likely take at least the rest of this year to absorb. The basic self storage is okay. Customers' expectations are high in the self-storage business. And an operator must meet these expectations in order to fill rooms. I believe we are well positioned to do this. Overall or forward-looking, I think we are decently positioned going into this summer. And I expect the customer will continue to make us their first choice for do-it-yourself moving and storage. With that, I'm going to turn the call over to Jason. He will walk you through the numbers a little bit.
Jason Berg: Thanks Joe. Yesterday, we reported a fourth-quarter loss of $0.43 a share compared to $1.99 per share for the same period in fiscal 2009. For the full year of fiscal 2010, we reported net earnings of $2.74 per share compared with $0.02 a share in fiscal 2009. U-Move revenues for the quarter increased $16 million or just under 6%. We finished the full year of fiscal 2010 down $3 million or less than 0.25 of a percentage point. Growth in revenue during the quarter came from transaction increases for both our In-Town and one-way segments. Revenue growth was somewhat limited by lower average revenue per transaction, largely due to a shift in customer usage towards smaller equipment models. Additionally, we've seen the ratio of In-Town moves to One-Way moves increase compared to 2009. In-Town moves on average generate smaller dollar amounts per transaction than do One-Way moves, thus watering down our overall average revenue per transaction. Competitive pressures in the market remain. Our transaction revenue trends over the second half of fiscal 2010 are encouraging as we transition into our busy season now. By the end of fiscal 2010, we had reduced the size of the box truck fleet by approximately 3000 trucks from the same time last year. While we sold about the same number of units in fiscal 2010 as we did in 2009, the number of new box trucks added to the fleet decreased. In fact, capital spending on the fleet decreased nearly $300 million as we slowed the introduction of new trucks to the fleet during 2010. Our plans for fiscal 2011 as of today are for fleet spending to increase approximately $150 million over fiscal 2010 amounts. Revenues for our storage program increased $323,000 for the fourth quarter of fiscal 2010, compared to the same period last year. For the full year, we had a $179,000 decrease. While our all-in occupancy rates for the year were down a little over 3.5% compared to fiscal 2009, our trends are much improved from where we were at last year at this time. For example, in fiscal 2009, we had a decrease of approximately 1400 occupied rooms comparing the beginning of the year to the end, whereas, in fiscal 2010, we had an increase of 3500 rooms comparing the beginning of the year to the end of the year. Our overall occupancy rate continues to be somewhat diluted by the addition of new product. In fiscal 2010, we added 6600 new rooms accounting for about 582,000 net rentable square feet. We invested nearly $46 million in real estate acquisitions, new construction and renovation and repair of existing facilities. Projected real estate related capital expenditures for fiscal 2011 will continue to vary depending upon the market conditions and the opportunities available to us. Sales of our retail products, including moving supplies, towing accessories and related services and propane, increased $4.5 million during the fourth quarter of fiscal 2010 compared to the same period last year. We finished the fiscal year down $609,000 compared to the previous year. We saw improvements during the quarter in each of the three major product categories. Operating expenses for the fourth quarter of fiscal 2010 decreased nearly $14 million compared to the same time last year. The improvement came from Moving and Storage and was derived largely from reduced maintenance and repair costs. These costs generally tend to decrease when we are able to remove our older, more maintenance-heavy trucks out of the active fleet. Also contributing significantly to the operating expense variance was improvement in our liability cost associated with the rental equipment fleet. As our previous year's incurred loss experience develops over time, we are able to improve our estimates of what the ultimate cost will be for these prior periods. The resulting refinements that we made in the estimates of these liabilities were recorded into our income statement and resulted in a positive fluctuation of $6 million compared to both the fourth quarter and full year of fiscal 2009. For all of fiscal 2010, our consolidated operating expenses decreased nearly $36 million for the reasons just mentioned, combined with other administrative reductions tied into the corporate cost containment programs we implemented well over a year ago. Depreciation expense decreased nearly $11 million for the fourth quarter of fiscal 2010 with almost $4 million of that decrease due to improvements and our gain on the disposal of equipment. The remaining decrease is from the slowing of new rental equipment that was added to the balance sheet over the last year. For the year, depreciation expense was down over $37 million with nearly $19 million of that from improvement in the gain on the disposal of equipment. The most significant driver of this fluctuation related to the disposal of equipment continues to be the better resale pricing of our pickup and cargo van fleet. As a result of these developments, earnings from operations for the fourth quarter of fiscal 2010 were $10 million, compared to a loss of $32 million in the fourth quarter of fiscal '09. For the full year of fiscal 2010, we reported earnings from operations of $193 million, which was an improvement of $72 million over the previous year. Cash and short-term investments, this is excluding our insurance subsidiaries, was $207 million at March 31, 2010. And we had additional cash availability from existing borrowing facilities of approximately $200 million. The operating earnings at our insurance subsidiaries were up $1.5 million for the fourth quarter. They finished the year down just over $2 million. During the second half of fiscal 2010, Oxford launched a new single premium life insurance product resulting in noticeable premium and benefit increases in our consolidated financial results. While this new business immediately increases premiums and benefits, it has minimal impact on current earnings as the profits from these new policies are recognized over their lifetimes. Also of note, both Republic Western and Oxford had their secure ratings with AM Best affirmed during fiscal 2010. With that, I'd like to hand the call back to Joe.
Joe Shoen: Thanks Jason. I always appreciate his summary. He makes it all sound so orderly and calm that I sometimes wonder where I was during the same time period. However, I think he did a very nice job there trying to put everything in perspective. We are going to go ahead and go to questions and answers now. So if the operator will come on, we'll see who we can speak with.
Jennifer Flachman: Shaina, are you there?
Operator: (Operator Instructions) Ian Gilson with Zacks Investment has your first question.
Ian Gilson – Zacks Investment: Good morning, everyone. Congratulations on a quarter that's back I believe to the fourth quarter '08 rental revenue level.
Joe Shoen: That sounds about right.
Ian Gilson – Zacks Investment: Yes. Looking at the current quarter, are the gains on a percentage basis running about the same level as they did or up close to 5% year-over-year?
Joe Shoen: Could you say that one more time, Ian? This is Joe. I'm not sure I understood your question.
Ian Gilson – Zacks Investment: Looking at the rental revenue gain that is just rentals now, not net sales and storage. You showed a 5.75% year-over-year increase. Is the first quarter of fiscal ‘11, does it look like it will be showing roughly the same percentage level gain as did the fourth quarter?
Jason Berg: Ian, this is Jason. We have one month in the books and the second month we are wrapping up now. Both of those exhibit the same sort of trends that we saw during the fourth quarter.
Ian Gilson – Zacks Investment: That's good. That's good. I didn't catch the numbers that you quoted on a square foot change during the year. Could you repeat those?
Jason Berg: Sure. We added 582,000 net rentable square feet.
Ian Gilson – Zacks Investment: And you have said that, say, you have basically pulled back on further investment in the self storage facilities?
Joe Shoen: Yeah. This is Joe. We really did last year. The problem with that is there is such a lead lag with that problem. In other words, we pulled back but we still completed rooms.
Ian Gilson – Zacks Investment: Yeah, yeah. I understand that.
Joe Shoen: And so kind of the lead lag, so we’re not turning it back on right now, although we’re trying to keep our eye open. If somebody, if there is an operator who decides they want to sell their property for some reason, it looks like an attractive proposition, we’re going to throw a bid at it. Now, we don't have any big deal cooking, but our eyes are as large as saucers. We've got for us a relatively large amount of cash in the bank and we’re keeping our eye open. And so while we – and I think Jason is forecasting capital expenditures there not a whole lot different from the prior year. Nevertheless, if we get an opportunity, we’re going to at least throw them a number to see if we can get together with them.
Ian Gilson – Zacks Investment: Okay. On the rental properties, are you more or less finished with the upgrades to sort of things like climate controlled or do you still have things to go in that area?
Joe Shoen: There’s always dribs and drabs, but I think the bulk of those gains we've probably gotten. Now, customers are always interested in amenities in that business, believe it or not. So they like improved security or improved lighting, these different things. And so we are doing that but a lot of what we've spent money on over the last 12 months has been stuff that would increase energy efficiency. In other words, there were more cost management type things that we think will payoff over the next 36 months or so. But as far as just adding climatization, we've got, I’m confident of the stores we have the vast majority and we've done the work we are going to do. We have lots of places we could build out but we are being fairly cautious, although we have a few projects going right now and I hope to God that they come in on schedule and that they ramped up according to schedule, because that of course is what we are looking to do. But we are – so we are not putting a lot of money in new product but if there was existing product out there we can buy. We’re going to hit on it.
Ian Gilson – Zacks Investment: Okay. Thank you.
Operator: Your next question comes from the line of Jim Barrett with C.L. King & Associates.
Jim Barrett – C.L. King & Associates: Good morning everyone.
Joe Shoen: Good morning, Jim.
Jason Berg: Good morning.
Jim Barrett – C.L. King & Associates: Joe, could you talk a bit about the portable storage business? How much, how excited are you by what you are seeing in the locations that now offer that service and in fact, to what extent is it offered across the U.S.?
Joe Shoen: We are presently open at least 150 locations. We will be at 250 before the summer is over. We're pursuing a strategy that’s not too different than what we do in the U-Haul business, which is more breadth than depth. But if you had a city payor you’re interested in conducting a transaction from. I would say more likely than not we have coverage and would offer the service. Now I can't tell you we're in a position to cover 80% of all moves, but it will be a number up in that range. I don't have a statistic but we are way beyond half of the potential moves. Now, on the other hand, I'm being very, very conservative in what I'm spending on that. So, I want to get the network out there, get people trained. We probably have today, I would say, 110 people who the majority of their time is involved in that activity and we’re probably grossing about what we are paying in wages, okay. That would be my guess. Now, I don't have a, I mean, I pretty much know where we are. We are somewhere around that. So it's by no means a barnburner but I look at this much like our addition of tow dollies and auto transports. It's just something people want. Not everybody wants it but the people who want it will pay a fair price for it if we can be cost effective in providing it. So we are in a real learning mode here rather than a big investment mode.
Jim Barrett – C.L. King & Associates: Okay.
Joe Shoen: Our biggest investment is personnel, but if this goes well, it will be money well spent because we will have capable people in position. But I have no idea what revenue we can do in it. Revenue numbers in the billions are being done nationwide in my opinion. There isn't an accurate statistic on it but I've tried to make it my business to become aware and I believe there's billions of dollars being spent by customers in this mode. And I want at least for those people who would like to be U-Haul customers. I want U-Haul to have a competitive and very acceptable product offering. So that's kind of where I’m headed right now. They are not going to run up and take this away from us or this isn't some kind of a seller's market and I don't want to misrepresent that to you. But on the other hand and a good example, Jim, might be, if you had a daughter going to school in Los Angeles and then she gets herself a job in Cleveland and calls you and wants to know if your MasterCard is available for the move and then you say, yeah, but then she says, would you help drive the truck and you go, oh God, it was bad enough paying for it. I've got to fly out there and do all this. And so all of a sudden this other deal becomes a cost effective alternative. Does that make sense?
Jim Barrett – C.L. King & Associates: It makes perfect sense, yeah. So this is actually a pretty big opportunity for the company because you are the – it would seem as if U-Haul has a number of competitive advantages to offer someone who is wants to do this?
Joe Shoen: Well, you know, I always believe that about everything we do, so I’m the irrepressible optimist, okay. However, this is exactly the wrong time to be spending a ton of dough.
Jim Barrett – C.L. King & Associates: Yeah.
Joe Shoen: Okay. So I’m not in the let's spend a ton of dough frame of mind. On the other hand, we’re increasing our institutional knowledge of how to do this by leaps and bounds and we have today, by far, the broadest coverage in North America, by far and away by a multiple of anybody else. And we are steadily grinding on building the systems and we’re going to rollout another version. As always, you're embarrassed by your system about the time you roll it out, you know enough to feel embarrassed about it, which is a good sign, it means we are learning. So we’re rolling out another system somewhere in the next three or four weeks, which will make our present one look stupid and that's a good thing. So if we just continue to do that, as far as, Jason, could talk, we don't have much of a barrow weight of deferred anything there. Do we Jason, you tell me?
Jason Berg: No. We’re taking a fairly conservative approach as far as what we're capitalizing on the development of the programs. So and Joe was a little negative as far as personnel cost to revenue. We’re doing a little bit better than that but it is still up.
Joe Shoen: Okay. It will – so it's not enough that it's worth breaking out. We would be spending more on the accounts that we are making, okay. But the point it gets to be enough to breakout, we'll do some presentation of it. But it's just not enough money to whistle at right now.
Jim Barrett – C.L. King & Associates: Yeah.
Joe Shoen: You know, what we’ve invested, but I think that, that it's, I think for anybody who is a long-term holder, I think it should be viewed positively because it's just an increase in our product offering. These are people we already have a business relationship with. If they are already satisfied with our level of product and service, they’ll be satisfied with our level of product and service offering in this niche. And we’re not spending a ton of dough, so people who are in this on a tighter timeframe don't have to despair that this is going to depress near-term performance in any large amount. Although, anything we do costs money and I’m real correct, I’m kind of sensitive to spending a lot of money right now. So and I've told everybody there that they are living on U-Haul's nickel and they need to get some revenue in because that only goes on so long.
Jim Barrett – C.L. King & Associates: Right.
Joe Shoen: But, there is, I don't know other way to do it other than that. So I think this is going to be a nice little program for us three or five years from now, where it will start paying some bills. Until then, I wouldn't look for it to pay any bills, in any substantial amount other than hopefully pay for itself. I wish I could tell you this was like eMove. eMove I think started paying for itself the second month we did it, okay. But that was just, we were just able to do that. This requires a little bit more personnel and a little bit more investment in boxes and that sort of thing, conveyances. But still, the numbers are very modest compared to what you're used to seeing our CapEx. But again, as soon as it becomes enough money to breakout, I don't know if we will footnote it or what the proper treatment is, but we’ll do some treatment.
Jim Barrett – CL King & Associates: Okay. Are you making the U-Box containers yourself?
Joe Shoen: No, we are buying them. We have three or four different suppliers. It's a very competitive business. And we work very diligently with them to make sure that the product is interchangeable, they are all using the same specs and that sort of thing, so that – there is minor differences, but you have to really know what you're doing to tell who made which box. And they all perform adequately, so I don't foresee us making it because that is such a competitive business. People are – This product is down right now, so everybody in that business is really hustling for a living.
Jim Barrett – CL King & Associates: Okay. You exited the year with 98,000 trucks. You're increasing your CapEx by $150 million. What does that mean in terms of the fleet size? Does that mean that it's growing?
Joe Shoen: Jim, my guess is we could gain 2000 to 3000 trucks, maybe 3500. It's – a little bit depends on sales always, but as Jason said, sales have been constant the last two years, so sales will probably be constant this year, although I wish they were up a little bit more of trucks. That's kind of the fly in the ointment. But we are going to – We're probably going to gain a couple thousand trucks.
Jim Barrett – CL King & Associates: Actually, Joe, I'm a bit confused. You said sales are constant. I mean you showed sales growth of 5%. I'm not sure what….
Joe Shoen: Truck sales.
Jim Barrett – CL King & Associates: Truck sales. Okay.
Joe Shoen: Because that utilizes a trial – you start with what you have, you deduct what you sell, you add what you put in. So – I don't – maybe it was high, even the 3500. Probably 2000 is close to what we would gain. It would be – that number is real hard to move. The biggest way to move it is to slow down sales. That's easy to do. But accelerating sales of used trucks is a little harder to do. And I've still got some trucks I would rather sell, so we are working at it.
Jim Barrett – CL King & Associates: Okay. And then just a quick question for Jason. I read in the K what the reduced accelerated depreciation was in fiscal 2010. Can you give us a sense as to what that is likely to be in the current year roughly?
Jason Berg: If we weren't to add another truck to the balance sheet, which we've already said that isn't going to happen, but if you were just to take the trucks we had on the balance sheet that were on the accelerated method today and run that out over the next year, I think the decrease in depreciation would be – and this is a ballpark estimate – somewhere around $15 million, give or take a couple million dollars either way.
Jim Barrett – CL King & Associates: Okay.
Joe Shoen: Jim, Rocky was kind of smiling at Jason while he was trying to answer that because of course it depends how Rocky finances the trucks. And so he is out there trying to find the best combination of costs and then still maintain – We are still trying to hold onto a significant cash buffer. And so it's not at all clear whether he is going to bring these straight on our books, or put them in through some kind of lease financing. So, that really whipsaws Jason's ability to give you a direct answer to that question.
Jim Barrett – CL King & Associates: Okay. And Joe, you probably – My final question, I think you may have answered this, although maybe I didn't fully appreciate it. I continue to see the company buying self storage locations. Are the valuations trending down? How much competition are you seeing to purchase these locations? How optimistic are you that you'll be able to see lower valuations going forward? What's the general sense out there in terms of the multiples and the asset values or the asset selling prices?
Joe Shoen: I'm going to comment and then I'm going to ask Jason to come in. We didn't rehearse this question, so he could see it different than me. But I think you're seeing low valuations on dog property that, if you want a good property or property that is something that we would've built, you're going to pay a big number still. And so, what you are doing is searching through a bunch of dog properties to see if you could find the one diamond in the box of rock. And so I think that there's a bunch of low valuations on properties that were – they were ill-conceived, location doesn't merit it. And those are going to be – they're going to need a real rising tide for them to come back. But the better properties, I am not seeing much decrease. But Jason, you have specific multiples. What's your experience?
Jason Berg: Jim, the area that I have been looking at most has been distressed properties. So as far as the higher class storage facility that Joe and our real estate department look at typically. I am not seeing those. But on the distressed storage properties, there is certainly a lot of competition right now for the deals. There's a lot of money out there, we've had some success in obtaining some of those distressed either mortgage notes or the real estate. But it's been a fight and there is a lot of money going after those.
Jim Barrett - CL King & Associates: Okay.
Jason Berg: So it's still pretty tough
Jim Barrett - CL King & Associates: Okay. Well, thank you both very much.
Joe Shoen: Sure. Thank you.
Jim Barrett - CL King & Associates: Yeah.
Operator: (Operator Instructions). And your next question, you have a follow-up from Ian Gilson with Zacks Investment.
Ian Gilson – Zacks Investment: Yeah. Thanks. On the car rental, local car rental initiative that you had started.
Joe Shoen: Yes.
Ian Gilson – Zacks Investment: How is that going?
Joe Shoen: Well, it's very interesting. And we probably have the same or fewer cars than we had a year ago. We are basically getting a good education. We have a couple of very nice contracts, or whatever you'd want to call them. For instance, we are doing the entire light rail system in the Salt Lake City Valley. I can't remember the name of it, but it's one of these integrated transit systems, 40 or 50 miles of rail, multiple stations and all that, which is a really good, complicated logistics problem. We have been through and through – This is a very technology-driven business. We've been through and through the technology. And we are now about to launch our third generation of technology which we think we have a world-class platform with this one. This is very driven by people who want to do things like use an iPhone to get a car and it's – so it's very technologically driven. So we have some – a couple of outstanding, good national quality projects. We are not making any money. The money we are spending is almost entirely on technology. Again, Jason – I'm not sure how he capitalizes or – a lot of that technology we bought out, so it probably went pretty quickly, didn't it, off the cash?
Jason Berg: Even including the vehicle, it is a very small capital investment at this point. It's on the books.
Joe Shoen: Yeah. And I would expect it would stay that way for a little while. But we are having – it's a – you have to bring about 50 different things up to speed to make anything there work. We are getting a lot close to having all 50 things up and working. That's opening our eyes to a whole bunch of opportunities which I think are going to bleed back favorably into the U-Haul business. That's my belief. Now, it's just a big belief at this point, but the world is changing. People want to be able to – they are more – I don't what you want to call. I'll say they are more oriented to doing business on their telephone and that sort of thing. This car share business is square in the middle of that. So it's exposing it and it's really increasing our whole proficiency. We have – I don't think I've ever had you here at the home office, but if you're in this area sometime, I would like to host you through here and I would say the same thing to Jim. But we have quite a staff. There's more programmers here than I think any other single job occupation. This is very technologically driven. The truck rental business is increasingly being that way. I am trying to challenge my team and then attract the kind of people who are really capable of doing this. And those people have a lot of job opportunities. So it's a very competitive marketplace and they want to be around exciting ventures. It's hard for me sometimes to get them to think of U-Haul truck rental as an exciting venture. It's not hard for me to see it that way, but sometimes it's hard for me to get others to see it that way. So this car share deal has attracted some talent here that I am not sure I would've got else wise. And I'm integrating that, the knowledge, into my base group and it's going to help us.
Ian Gilson – Zacks Investment: Could you divert some of the around-town trucks to be available for that program?
Joe Shoen: Well, you and I both think the same way. And I'm not there yet, but my eyes are big. Okay. You bet. Now, saying it and doing it, there is a lot involved in this. That's why I say this third generation of technology that we are just – We just agreed to roll it out about eight weeks ago, so it would probably fall before it rolls. But that will bring us a huge step closer to what you reference there. What's the size of the market and all that, who knows?
Ian Gilson – Zacks Investment: Yeah. Thank you very much.
Joe Shoen: Sure.
Operator: And at this time, presenters, there are no more questions.
Joe Shoen: All right. Well, this is Joe. I want to thank everybody for being on the call. Of course, we are going to have our annual meeting in August. It's going to be held over the Internet again this year. So, I look forward to those of you who are available to log on and speaking with you at that time.
Operator: This concludes today's conference call. You may now disconnect.